Operator: Welcome to Alico's Second Quarter 2021 Earnings Conference Call. At this time, all participants are in a listen-only mode. As a reminder, today's conference is being recorded. Earlier today, the Company issued a press release announcing its results for the second quarter ended March 31, 2021. If you've not had a chance to view the release, it is available on the industrial relations portion of the Company's website at alicoinc.com. This call is being webcast, and a replay will be available on Alico's website as well. Before we begin, we would like to remind everyone that the prepared reports today contain forward-looking statements. Such statements are subject to risks, uncertainties, and other factors that may cause actual results to differ materially from those expressed or implied in these statements. Important factors that could cause or contribute to such differences include risks details in the Company's quarterly reports on Form 10-Q, annual reports on Form 10-K, current reports on Form 8-K, and the amendments thereto filed with the SEC and those mentioned in the earnings release. The Company undertakes no obligation to subsequently update and revise the forward-looking statements made on today's call except as required by law. During this call, the Company will also discuss non-GAAP financial measures, including EBITDA and adjusted EBITDA. For more details on these measures, please refer to the Company's press release issued earlier today. With that, I'd like to turn the call over to the Company's president and CEO, Mr. John Kiernan.
John Kiernan: Thank you, Debbie, and thank you, everyone, for joining us for Alico's Second Quarter 2021 Earnings Call this morning. We remain encouraged by the higher citrus fruit prices per pound solid that have continued throughout the 2021 harvest season. Pricing for the early and mid-season fruit finished the season at $2.14 per pound solid, more than double the market pricing from a year ago, which was in the low $1 range. We're still harvesting the Valencia crop for a few more weeks, but expect a similar type of increase in pricing by season's end. The increase in price is driven by both a continued increase in consumption of not from concentrate orange juice by retail consumers as well as tighter supplies of citrus fruit from Florida, Brazil, and Mexico. The increased consumption of not from concentrate orange juice commenced in March of last with the outbreak of the pandemic and has continued strongly since then. We along with the entire Florida citrus industry have continued to experience a decrease in process box production of both the early and mid-season and Valencia crop as compared to the prior year harvest. The USDA now estimates an approximate 23.3% decline of the total Florida orange crop for the current harvest season as compared to the prior year. While we are also expecting a decline, we don't anticipate it to be as steep as the USDA's estimate. We expect our production decline to be in the range of 15% to 20%, with production falling to approximately 6.3 million boxes. With respect to our growing costs and general and administrative costs, we continue to maintain stringent controls, which has allowed us to realize improvements in these costs through the first six months of fiscal year 2021. Moving on to our business highlights, earlier today in a press release, we announced that as of May 1, 2021, we had modified our fixed rate term loans with MetLife to be interest-bearing only and the principal balance fixed until maturity in November of 2029, when a balloon payment will be due or the balance will be refinanced. As part of this modification, we also reduced our annual interest rate on this debt from 4.15% to 3.85%. In April 2021, prior to executing the modification, we prepaid approximately $10.3 million without penalty, reducing the principal balance to $70 million. Only nominal fees, but no penalties were incurred to modify these loans. We expect these modifications to reduce our debt service between $5 million and $6 million annually. Last month, we previously announced the completed sale of 5,734 acres of ranch land to the State of Florida for approximately $14.4 million. The net taxes of these funds were used to prepay a portion of the MetLife fixed term loans before the principal balance was fixed through 2029. Over the past four years, we have sold more than 26,000 acres of noncore ranch land and adjacent farmland for more than $72.7 million in proceeds. Earlier today in the same press release announcing our modified debt terms, we also announced that Alico is under contract to sell or in final negotiations to sell approximately 15,000 additional acres of the Waco ranch to approximately 10 different parties. Once these transactions close, there will be approximately 33,000 acres of the Waco ranch and adjacent farmland remaining to be sold. Cash flow is expected to increase substantially in the near-term once these pending asset sales are completed. After tax proceeds from the proposed sale of the 15,000 acres and other assets are expected to retire the balance of our $40 million of variable rate term loans, which, when combined with the impact of the fixed rate term loan modifications already made, will improve subsequent annual cash flow by as much as $9.5 million annually. Following these transactions, along with repaying another term loan, which matures in September 2021, the debt components of our capital structure should remain fixed through 2029. The Company has a history of increasing its quarterly dividend. Since fiscal year 2019, our common quarterly dividend has tripled from $0.06 a share to $0.18 a share. Our board of directors feels confident that the debt modifications and prepayments discussed earlier and the proceeds from pending land sales could support a significantly higher dividend. However, there will not be any change to our dividend policy until most of those transactions have closed. We believe that any increases to our quarterly dividend policy will still need to enable Alico to pursue opportunities to acquire additional citrus acres at attractive prices, repurchase common shares, make other acquisitions, or even consider special dividends in the future as asset sales continued to be realized. In looking at our tree plantings, by the end of fiscal 2021, Alico will have planted approximately 1.5 million new trees since 2018. This level of planting substantially exceeded our rate of tree attrition and has increased the overall density of our citrus groves. While we continue to evaluate the optimal density levels at our individual citrus groves, we believe we are approaching maximum density and therefore plan to decrease the number of tree plantings of fiscal 2022 to between 225,000 and 275,000 trees, which is an approximate estimate of the maintenance investment required to meet attrition among the Company's approximately 5 million total trees. The reduction in annual tree plantings could reduce our annual cash capital expenditures by approximately $1.5 to $2 million. However, at the lower level of tree plantings, a smaller portion of our growing costs will be capitalized, and instead they'll be expensed each year when the fruit is harvested. With our accelerated tree plantings over the last four seasons, we anticipate starting to realize increased production from these plantings in the 2022 harvest season. Citrus trees typically take approximately four years after planting to generate meaningful production and usually reach mature production after seven or eight years. With our approximately 1.5 million trees planted over the last four years, we believe we have the potential in the long-term to return to the Company's annual citrus production level of approximately 10 million boxes and that level was last experienced by our company in fiscal 2015. Lastly, I will discuss our third-party caretaking management services. In July 2020, we entered into an agreement with a top 10 citrus grower with more than 7,000 citrus acres to provide citrus grove management services. Alico is reimbursed for all of its out-of-pocket costs and receives an annual fee based on acres managed. This line of business is performing well and now contributes approximately $1.5 million in fees annually. We are continuing to pursue similar third-party caretaking management services for other large growers and believe we can increase this line of business substantially each year, beginning in fiscal 2022. With that, I'll turn the call over to our CFO, Rich Rallo, to discuss our more detailed financial results.
Rich Rallo: Thank you, John, and good morning, everyone. As mentioned on previous calls, our business is seasonal, and the majority of our citrus crop is harvested in the second and third quarters of the fiscal year with the majority of our profits and cash flows also recognized in the second and third quarters. As such, the quarterly results for the second quarter are not indicative of our full year results. Total operating revenue for the quarter ended March 31, 2021 was $55.9 million compared to $50.5 million for the quarter ended March 31, 2020. Citrus revenues were $55.3 million and $49.8 million for the quarters ended March 31, 2021 and March 31, 2020, respectively. The increase in revenues for the three months ended March 31, 2021 compared to the same period in the prior year was primarily due to an increase in the revenue generated from our grove management services and the Valencia fruit harvested. We generated greater revenue from our grove management services we provided to third parties. In July 2020, we entered into an agreement to provide these services for over 7,000 acres. As mentioned on our previous earnings call, we record both an increase in revenues and expenses when we provide these grove management services. For the three months ended March 31, 2021, under this agreement, we recorded approximately $4.7 million of operating revenue relating to these grove management services, including the management fee. The increase in revenues from the Valencia fruit harvest has been driven by an increase in the market price per pound solid as a result of increased consumption and tighter inventory supply. Partially offsetting this increase in pricing is fewer Valencia boxes being harvested as well as pound solids per box being lower for the three months ended March 31, 2021 compared to the three months ended March 31, 2020. While we have harvested a greater percentage of our Valencia crop through March 31, 2021 measured as a percentage of our estimated full year Valencia crop, as compared to the same period in the prior year, we are recording a smaller number of boxes harvested as a result of a greater rate of fruit drop during the current harvest season as compared to the previous year. In addition, the internal quality of the fruit has not been as strong as it was in the previous year, resulting in lower pound solids per box. The USDA in its April 9, 2021 citrus crop forecast for the 2020-'21 harvest season indicated its expectation is that the Florida orange crop will decrease from approximately 67.4 million boxes for the 2019-'20 crop year to approximately 51.7 million boxes for the 2020-'21 crop year, a decrease of 23.3%. As mentioned earlier by John, we anticipate Alico's decline will be in the range of 15% to 20%, which is substantially less than that forecasted by the USDA. The increase in operating expenses for the three months ended March 31, 2021 as compared to the three months ended March 31, 2020 primarily relates to our grove management services. As previously stated, we entered into an agreement to provide these services for more than 7,000 acres in July of 2020 and recorded approximately $4.2 million of operating expenses in the three months ended March 31, 2021. Additionally, the increase in operating expenses is attributable to Alico purchasing additional citrus acres in May and October of 2020, whereby we recorded operating expenses relating to these groves in the current fiscal year. Partially offsetting these increases was a reduction in harvest and haul expenses related to the decrease in boxes harvested. General and administrative expense for the quarter ended March 31, 2021 and March 31, 2020 were approximately $2.7 million and $3 million, respectively. The decrease was due in large part to a reduction in stock compensation expense of approximately $300,000 pertaining to certain stock options that vested in January 2020, resulting in an acceleration of expense in that quarter, a reduction in pension expense related to Alico's deferred retirement benefit plan of approximately $100,000 as a result of the Company terminating such plan and paying out each of the plan participants in August 2020, and a reduction in legal fees of approximately a $100,000 relating to SEC and other corporate matters. Partially offsetting this decrease was the Company incurring approximately $200,000 in corporate advisory fees in the three months ended March 31, 2021. Other expenses net of other income for the three months ended March 31, 2021 was approximately $1,100,000, as compared to other income net of other expenses of approximately $1.4 million for the three months ended March 31, 2020. The shift to other expense net from other income net is primarily due to Alico recognizing a sale of real estate, property, and equipment and assets helped the sale of approximately $2.8 million for the three months ended March 31, 2020. For the three months ended March 31, 2021, we recorded a nominal loss on sale of real estate, property, and equipment and assets held for sale. Additionally, a decrease in interest expense of approximately $400,000 for the three months ended March 31, 2021 as compared to the three months ended March 31, 2020 was realized primarily because of the reduction of long-term debt resulting from mandatory principal payments. For the quarter ended March 31, 2021 and March 31, 2020, we reported net income attributed to Alico common stockholders of approximately $4.9 million and approximately $3.6 million, respectively. We are updating our guidance for the fiscal year ended September 30, 2021 to reflect significantly lower anticipated box production this season, sale of ranch land to the State of Florida last month for approximately $14.4 million, and other pending ranch land sales transactions that are targeted to close before the end of fiscal year 2021. The Company is now projecting net income to increase them its initial projection of between $7.5 million and $10 million to between $33 million and $38.5 million. Fiscal year 2021 adjusted net income after adjusting out the certain of the expected nonrecurring items is expected to decrease from the initial projection of between $4.5 million and $6.9 million to $1.3 million and $3.8 million. The Company is projecting EBITDA to increase from its initial projection of between $29 million and $33 million to between $64 million and $72 million. Fiscal year 2021 adjusted EBITDA, again, after adjusting out certain of the expected nonrecurring items is expected to decrease from the initial projection of between $25 million and $28.8 million to between $21.7 million and $25.7 million. Alico continues to demonstrate financial strength within its balance sheet. Our working capital was approximately $27.9 million at March 31, 2021, representing a better than 2:1 ratio. We continue to maintain a solid debt to equity ratio. At March 31, 2021, September 30, 2020, and September 30, 2019, the ratios were 0.62:1.00, 0.68:1.00, and 0.82:1.00, respectively. Additionally, we made a prepayment of approximately $10.3 million on our fixed rate term loans, which will further improve our overall debt to equity ratio. I will now pass you back to John.
John Kiernan: Thanks, Rich. We've made great progress so far this year executing on our operational initiatives, which we believe will generate greater returns for our shareholders. We reduced the principle of our debt by approximately 10.3, favorably modified the terms of our fixed rate term debt, sold or are in the process of selling over 20,000 acres of noncore land sales this year, and have continued to make headway, reducing our expenses. With that, we'll now open the line up to questions from our industry analysts. Debbie?
Operator: We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from Gerry Sweeney with ROTH Capital.
Gerry Sweeney: Quick question on pricing, John. You mentioned I think in the prepared remarks pricing was up from $1, or we'll assume about $1 last year to $2 and change this year. I didn't catch all of it, but two questions. That was the industry pricing, I believe. But could you just go over that? But more importantly, as we move into the third quarter, do we anticipate pricing staying in that range, or is there any variability or potential variability to that pricing as we move forward?
John Kiernan: Sure. So for the early mid-season fruit, that was already harvested, and I think we wrapped that up in February. So clearly the number that we stated for that is locked and done. We haven't really announced kind of where our pricing is coming out. We kind of gave you some guidance that market prices right now for Valencias with three or four weeks to go in the remaining part of the season are substantially higher as well, which you might be able to get into a little more specifics on that, but we definitely think we can back up the claims that it's going to be substantially higher than it was last season in light of the new contracts that we negotiated and other contracts that we do hold.
Gerry Sweeney: Got it. And do the Valencias carry a higher price generally than the early to mids? Correct?
John Kiernan: They do.
Gerry Sweeney: Okay.
John Kiernan: So it's $0.2 to $0.4 higher, typically.
Gerry Sweeney: $0.2 to $0.4?
John Kiernan: Typically, yes. Than the early and mid-season, yes.
Gerry Sweeney: Yes, got it. Got it. No, that's helpful. I appreciate that. And then obviously, the last several years, as you mentioned, 1.5 million trees planted. Beginning, I believe, you said in 2018, what was the pace of those plantings? Just to want to double-check our model, and was it a similar amount each year, or was it a little bit more of a bell curve? Just wanted to touch upon that.
John Kiernan: Sure. We actually graph that in some of our investor presentations. Rich, if you want to pull that up, we'll talk about what we did in '17, '18, '19, and '20. Most of those years, it was around 400,000-plus trees.
Gerry Sweeney: Okay.
John Kiernan: Rich?
Rich Rallo: Yes.
John Kiernan: I can pull it up, too. But yes, okay.
Rich Rallo: Okay. Yes. So Gerry, in 2018, it was just over 300,000, and then we moved to 400,000 pretty much subsequent, give and take a little bit subsequent to that.
Gerry Sweeney: Got it. And then fruit bearing, four years, and then they kind of mature over the next three to four years to full production. Is the.
John Kiernan: Right.
Gerry Sweeney: Got it.
John Kiernan: That is correct.
Gerry Sweeney: Got it. Got it. And then we can back into how many more those trees produce by some of the comments you made. And then final question, timing. I know it's a little not open-ended, but maybe a little bit difficult to nail down. But just curious.There's 10 or so transactions that remain out there. Do you have a sense of when they will complete it? I think you believe by the end of this fiscal year, but I just wanted to confirm that.
John Kiernan: Yes, they're going to be staggered between now and the end of September. So we should see a handful in June, and then the remainder would be the rest of the summer, no later than September.
Gerry Sweeney: Got it. The final land that remains, I think it's 33,000 acres. Is it fair to say that land is similar quality, location, value as compared to some of the other sales you've made in the last several years?
John Kiernan: Yes. I think that's fair to say. Prices are clearly strong in Florida for open real estate. The ranch land that we're holding, it's substantially higher than it was even two years ago, and interest is very strong. So we're showing parcels of the property a couple times a week. I was actually just out there a day or so ago, and interest remains strong. So we're opportunistically entertaining offers. We're not in any rush whatsoever to dispose of these assets. We're holding out for good prices for buyers that really do have a conservation focus, because we'd love to see kind of all that remain in friendly hands that support kind of the ESG movement and want to take care of it as stewards, just as we have done for 120 years.
Gerry Sweeney: Got it. So lots of demand for the land. So you're not pressed to sell it, obviously.
John Kiernan: Correct, correct.
Gerry Sweeney: Got it. Great. That's it for me. I really appreciate it.
John Kiernan: Thank you, Gerry.
Rich Rallo: Thank you.
Operator: We have reached the end of today's question and answer session. I would like to turn the call back over to Mr. Kiernan for any closing remarks.
John Kiernan: Thank you, Debbie. I want to thank everyone today for joining our call and for also your support of Alico. Rich and I are available all day, and going forward, if there's any additional questions, we can answer one-on-one about the public information we just disclosed today. We look forward to speaking with all of you again about our third quarter results in August. Thank you very much.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation and have a great day.